Operator: Good day, ladies and gentlemen, and welcome to the MultiChoice Group Financial Year '23 Interim Results Presentation. All participants are currently in a listen-only mode and there will be an opportunity for you to ask questions later during the conference. [Operator Instructions] Please also note this event is being recorded. I would now like to turn it over to Meloy Horn. Please go ahead.
Meloy Horn: Thank you, Chris, and hello everyone, and thank you for joining us again today. Our results for the six months ended 30 September were released yesterday. And those of you who are registered on our database, you would have received an e-mail with all the information. And for those not on the list, I'd like to remind you that these slides have been uploaded under Latest Results in the Investors section of our website, as usual. Our presenters today are our CEO, Calvo Mawela; and our CFO, Tim Jacobs. And the line-up will be as follows. Calvo will briefly reflect on the results highlights and provide a reminder of our strategy, as he always do at interim. He will then proceed to provide a detailed update on our operations. Tim will take you through the financials with Calvo wrapping up on our outlook for the rest of the year. And thereafter, we will happily take some questions. So with that, let me hand you over to Calvo to start today's session.
Calvo Mawela: Thank you, Meloy, and good day, everyone. Let's turn to Slide 4 to describe the highlights of our interim results. We have grown our subscriber base by 5%, which means we now serve more than 22 million households across the continent. The Rest of Africa maintained its growth momentum and added another 800,000 subscribers, taking its customer base to the 13 million mark for the first time. Connected Video users on the DStv app and Showmax continue to grow as online consumption increases. The year-on-year growth rate for paying Showmax subscribers was a strong 50%. Revenues increased 7%, 2% organic to ZAR28.6 billion as growth in advertising income normalize. After a slower than usual first quarter mainly due to consumer pressure caused by energy and food price shocks, subscription growth regained momentum in the second quarter. The trading margin remained broadly stable at 21.4%, but would have increased from 22% to 24% had it not been for ZAR700 million investment in decoders ahead of the upcoming FIFA World Cup. Tim will unpack this in more detail later as it also affected our core headline earnings growth and free cash flow numbers. We'll focus on the operational KPIs and the segment review. But I would like to flag our ongoing commitment to local content and the record production of live sport events during this period. Given the challenging macro environment, we kept a tight rein on costs. We banked ZAR600 million in savings year-to-date and are on track to exceed our full year target of ZAR800 million. The Rest of Africa segment is rapidly approaching breakeven. And despite the ongoing liquidity challenges, we were able to extract $122 million in cash from Nigeria. KingMakers delivered strong growth with revenues up 62% at $93 million. We continue to expand our services beyond pay-TV and invested around ZAR100 million in opportunities in the home services and fintech sectors. We are also excited about the recent launch of several new products and services. Now turning on Slide 5, we remind you of our strategy. In our year end results, we outlined our vision to be the platform of choice for African households and to enrich their lives by delivering entertainment and relevant consumer services through technology. We are doing this by growing our core linear pay-TV business, developing and scaling our online and interactive services and by making select investments in scalable tech-based consumer services. We don't plan to do everything by ourselves. As we have demonstrated already, we are comfortable with pursuing a process of innovating, partnering and investing as appropriate. We innovate, develop products, services and business lines organically. We partner with best-in-class third-parties to deliver value-enhancing services to our customers. And we invest in compelling opportunities that align with our strategic priorities. This provides us with the best opportunity to leverage our trusted brand and unmet distribution to create a world of more for our customers. On Slide 6, we elaborate our progress in this regard. Over the past six months, we have expanded our ecosystem to keep increasing value to our customers. Aggregating content is a critical end appeal to our video entertainment strategy. We have added Disney+ to our Explora Ultra and offer customers cost-saving bundles to complement the convenience factor of accessing all their content in one place. We have enhanced our catch-up savings with deep library content through the addition of Universal+.To ensure that our viewers can access our content in a way that best meets their needs, we have recently launched Streama and plan to launch DStv Glass in 18 to 24 months. In terms of value-added services, we have further boosted our security offering by buying the Namola app. We have strengthened our connectivity offering by expanding the DStv Internet service from capped fixed wireless LTE to uncapped fibre. And we have also added several deals for customers to bundle in sales. With this brief purchasing check, let's move to the operating update, starting on Slide 8. We sustained our investment in local content by producing over 3,000 hours, which is a 15% increase year-on-year. We also allocated for the 8% of our total general entertainment content to local production. And our local content library now exceeds 73,000 hours. As we show on this slide, demand for local content continues to exceed our increased supply. And tapping into this opportunity, we launched two new local channels, one in Ethiopia and another one in Ghana. Our core production slate continues to expand. We released the much-anticipated platforms with Canal+ and Showmax and produced Girl, Taken Screen Ireland. And we have another seven co-productions in the pipeline. We remain closely focused on managing both currency exposure and cost inflation in our content deals and have achieved ongoing success on both fronts. Meanwhile, we keep refreshing our content slate with the mix of the best of local shows with new seasons of Big Brother Naija and My Kitchen Rules. We have also added blockbuster -- such as House of the Dragon from HBO, new channels like MovieRoom and several cope-up channels. Finally, MultiChoice Studios continues to grow and reported a significant increase in the number of titles sold so far this year. Now moving on to SuperSport on Slide 9. Despite a really strong comparative period with the Olympics, Euro 2020 and the British Lions rugby tour, the SuperSport team increased live broadcast to a record-breaking 14,000 live events. The 79% increase year-on-year came on the back of the Commonwealth Games as well as an increased focus on women's slot and more local football and athletics contract. SuperSport remains one of the best sports broadcasters globally. We're bringing our view of the biggest events from around the world and the most popular sporting action on the continent. In this respect, we increased our spend on local sports by 15% year-on-year. We are also very excited about the SA20 Cricket League, which is scheduled to launch in January 2023. We have also enjoyed great success in complementing our live broadcasting with comparing local sports documentaries. This includes two sides for rugby fans and Pulse of a Nation for those who love soccer and its importance in our nation's history. We are also focused on building out our digital presence. Norway is our progress more evident than in the multi-social media following of almost 26 million across the SuperSport app and SuperSport website. Our SuperSport Schools platform is scaling at a rapid rate. We now cover 32 sports codes and have an installed base of over 100 cameras across 80 schools. This enabled us to stream over 14,000 hours of live sports content on the app in the first half. Now turning to Slide 10. We look at the South African business, which added 250,000 customers year-on-year in an exceptionally challenging environment. We have stabilized the premium package, which we will unpack in the slide that follows. To increase the scale of our distribution network and to bring our support services closer to our customers, we have added more DStv express containers in rural under service areas. We have also added more agencies and accretive installers to our network. The development of our OTT value proposition is built on a solid linear foundation. We have expanded our best-in-class television service with more in-home viewing experience, deeper viewing environment for connected devices and the more comprehensive catch-up services. The mid-market segment has been hit hard by higher unemployment, indebtedness and lower disposable income. We have pursued a number of targeted interventions to drive attention, and the initial findings have been encouraging. Outside of our core video business, we continue to develop our new business lines and value-added services. Our DStv Insurance business delivered 17% year-on-year growth in active policies and a 19% growth in revenues. The DStv Internet active user base has increased by 3x year-to-date due to the enhanced offerings I mentioned earlier. And we have deepened our capabilities in the home security space. We are also excited to see how leveraging our SA customer base can take these new business lines and to what extent we can roll them out to our Rest of Africa business in time. Now turning on to Slide 11, we highlight the recent improvement to our OTT services. We are serious about streaming and continue to improve the ways our customers can stream what they can stream and the value they can enjoy in stream. Our new Streama device turns any TV into a Smart TV. As mentioned, we have added Disney+ to our aggregation line-up, while Universal+ was added free-of-charge to catch up. Our new fibre service via DStv Internet as well as our new bundles services which combined devices and video subscriptions, create additional value for customers. And we have been able to offer our Premium and Plus customers lower pricing as we don't have to subsidize their decoder. On Slide 12, we unpacked the two key subscriber trends during the reporting period. It has certainly been a tale of two quarters with the left-hand graph showing the quarter-on-quarter volatility in the base. Our first quarter is always the weakest in terms of growth given the end of season break in the Northern Hemisphere football season. However, the seasonal trend was more prolonged this year as consumers were hit by massive price hikes for energy and food and became even more defending with their monthly spend. The business have gained momentum towards the latter part of the second quarter with the return of popular sports leagues. On the right-hand side of the slide, we unpacked the underlying trends in our Premium segment, which comprises the Premium and Compact Plus packages. It highlights the increasing trends of achieving stability in our premium package, mainly due to more intense bundled offers, product education benefits and a strong sports content plan. In contrast, our Compact Plus package, which is aimed at upselling Compact customers, came under pressure as it tends to be affected by the same economic headwinds impacting our mid-market segment at the moment. Now turning to Slide 13 to reflect on key performance measures for the SA business. We delivered 3% aggregate growth with 9% growth in the mass market, offsetting pressures elsewhere. And as explained, negative premium segment growth was largely a function of pressure in Compact Plus package. The decline in active days by 12 days was due to the non-recurring events such as the Olympics, Euro 2020 and the British Lions rugby tour, which boosted activity in the comparative period. This was of course aggregated by the drop in active subscribers in the first quarter, as I have already mentioned. Our pricing for the air has been known for some time. The ARPU declined on a segmental basis is largely a reflection of the sales drop in activity levels, while on a blended basis, the ongoing change in mix also came into effect. Now on Slide 14, we provided an operational update on the Rest of Africa where we now serve 13 million customers. Our objective is to pass through inflation linked pricing and we're able to increase prices on average by 10% in our core markets. We continue to enjoy success with our regionalization strategy, which is driving new subscriber additions. And following the successful introduction of our DStv Poa package in Tanzania, we have introduced a similar pack for Uganda. The aim is to improve our competitive positioning in DTH and the very low-end segments in regions where we don't have DTT presence. Our digitization initiative continue to gain traction, with 60% of our customer base now using digital self-service. These initiatives improve customer experience and support cost efficiencies in the business. The upcoming FIFA World Cup is a key opportunity to drive acquisitions, retentions, upgrades and reconnections in the Rest of Africa, and we made sure that we have enough decoders to meet the anticipated demand. Our marketing and promotional campaigns have already kicked off as we build up to the event in a few weeks' time. And finally, I would like to flag Ethiopia where we have managed to grow the base 45% year-on-year. Now turning to Slide 15, we provided some detailed commentary on some of the largest markets in the Rest of Africa portfolio. Firstly, our Nigerian business continued to perform very well in a challenging economic environment with subscribers up 9% year-on-year. Liquidity remains tight with the cost of extracting cash continue to rise right after the elections in 2023. The Kenyan shilling weakened after a relatively long period of stability. And despite some customer losses in the lower end of our OTT business, we have been able to keep profitability of our Kenyan business stable through price increases and cost management. The Zambian business saw a combination of stronger currency and inflationary pricing, delivering a strong improvement in profitability. The Angolan market also benefited from a stronger currency. It delivered positive subscriber growth, resulting [Indiscernible] narrowing of trading losses in this country. On Slide 16, we provided summary of the KPIs for the Rest of Africa. The business delivered 6% subscriber growth with positive momentum across all segments, most notably the mid-market, which grew 11% year-on-year. And similar to South Africa, active days were 11 days lower with a trend negatively impacted by the live sport events held in the comparative period as well as lower than normal subscriber activity in the first quarter of this financial year, which we will unpack on the next slide. Blended ARPUs were up 3% in dollar terms on the back of inflation-linked prices and a slightly positive mix effect due to the strong growth in the mid-market segment. On Slide 17, you can see the first quarter dip in our subscriber base was more pronounced this year with a weak activity level impacting negatively on active days and ARPUs. That said, the team did exceptionally well to regain lost ground in the second quarter, especially as they were able to leverage strong [Indiscernible] that included another season of Big Brother Naija, the Community Shield, the Commonwealth Games, the Women's AFCON and the new European football season. Turning now to our Connected Video business on Slide 18. The team delivered 13% year-on-year growth in total monthly active users across the combined Showmax and DStv app customer bases. The highlights of the reporting period was a 50% growth year-on-year in our Showmax paying subscriber base and the doubling of our Showmax Pro user base. The Showmax team is leveraging our deep understanding of local content and has been pushing through strong new local content across franchisee series, Blood Psalms, reality shows like Uthando Lodumo and hard-hitting documentaries like Steinheist. We are also continuing improving the user experience with some of the recent enhancements being the addition of 4K support for lean back viewing, enhanced personalization, content discovery and navigation as well as improved download speed and platform stability. Our technical team has worked hard on bringing down the cost of streaming for our most price-sensitive customers. At the very low end, viewers can now Showmax with as little as 100 megabytes of data used by our streaming. We have also strengthened our streaming value proposition through more promotional deals through telcos and announced the reduction of our Showmax Pro pricing by 22% to capitalize on the growth momentum we are experiencing in this project. On Slide 19, we provided an update on Irdeto, our technology business. This business unfortunately continues to be affected by shortages in silicon supply and disruptions in global supply chains. In the meantime, the team remains focused on execution. They gained market share in the media security and also won four new Connected Services customers. The Connected Services segment now accounts for almost 1/3 of revenues. On the media security side, the business is working on replicating the full managed service model being provided to MultiChoice for other clients. And foxtel is the first customer in this regard. Denuvo, which Irdeto's gaming security arm, won a contract to provide protection for games developed by the Nintendo Switch platform. Denuvo also joined AWS for Games to broaden the reach of its solutions and target smaller game studios around the globe. In the Connected Industry segment, Irdeto successfully launched its keys and credential solutions with CharIN, a global organization focused on electric vehicle charging infrastructure. This will effectively enable safe and secure electric vehicle charging, communication and related billing processes. CharIN has 290 partners worldwide. So this contract provides an excellent platform to develop Irdeto's business in the electric vehicle charging market. On the logistics side, our Keystone team has begun to rollout its services to another U.S. logistics operator. While on the construction equipment side, they have secured contracts with three construction equipment rental companies. Keystone essentially provides a digital fleet and vehicle management solution. Our last operational update on Slide 20 is for KingMakers, our sports betting investment. Sports betting is a large and growing sector with gross gaming revenue in Sub-Saharan Africa already amounting to $3.3 billion. KingMakers reported strong growth momentum for the six months to June. Active users jumped a healthy 84%, while active agents were up 44% year-on-year. Revenues grew 62% year-on-year to $93 million. The business is progressing through a shallow J-curve as invest in capacity to expand into more markets on the continent. KingMakers is very profitable in Nigeria. $177 million in cash mainly held in the U.K. will be utilized to fund its expansion plans. And aside from the geographic expansion, the BetKing and SuperPicks teams continue to enhance their product offering and drive mutually beneficial engagement. The reporting period saw the launch of SuperPicks in two new markets as well as the addition of second sports betting magazine show in South Africa. The PSL was also added to the SuperPicks' slate in South Africa. This concludes my operational update. Let me now hand over to Tim to discuss our financial performance.
Tim Jacobs: Thank you, Calvo. Our operational teams have worked hard in the first half to navigate some challenging macro conditions facing our customers. Due to these circumstances and our preparations for the FIFA World Cup, our first half results include some mix trends, some of which will unwind in the second half. This is why we always like to remind investors that we manage our business on an annual rather than a semi-annual basis. On Slide 22, we summarized our headline numbers. We delivered 2% organic top-line growth with a weaker rand against the U.S. dollar accounting for the 7% reported revenue growth. Our trading profits were up 6% organically and 2% on a reported basis despite us expensing an outsized investment in decoders ahead of the FIFA World Cup, which I'll explain in a moment. Core headline earnings were 2% up on a reported basis. Our free cash flows reflect the impact of the decoder investment and some content prepayments made during the period. On Slide 23, we look at subscriber numbers and subscription revenue, the largest contributor to our top-line. The chart on the left shows our 90-day active subscriber base, which was up 5%, driven by 6% growth in our Rest of Africa business and a 3% increase in South Africa. Subscription revenues on the right were up 8% or 3% on an organic basis. In the Rest of Africa, we benefited from an average 10% price increase and a stable subscriber mix to deliver 12% organic subscription revenue growth. Growth on a nominal basis was also positively impacted by the translation of the Rest of Africa's dollar revenues into rand at an average rate of ZAR16.61 compared to ZAR14.45 to the dollar in the previous period. In South Africa, revenues were 2% lower as the benefit of price increases was offset by the weaker than usual subscriber numbers in the first quarter as well as the ongoing shift in mix towards the mass market. Turning to Slide 24, which reflects our revenue performance by product. Outside of subscription revenues, which we've already discussed, our DStv Media sales team delivered a 5% growth in advertising despite an exceptionally strong comparative period due to a post-pandemic rebound. This outcome was driven by the team's continued focus on new digital advertising strategies and strong growth in the Rest of Africa business. Global operating conditions remained challenging for our technology business Irdeto where external revenues declined 13% year-on-year. Given the rapid growth of our Insurance business, we are disclosing this revenue separately for the first time. It generated ZAR338 million in revenue, an increase of 19% year-on-year. The 8% growth in other revenues was mainly due to additional decoder sales. On Slide 25, we look at our trading profits and specifically the impact of our investment in decoder stock ahead of the upcoming FIFA World Cup. Historically, the event has been hosted in the first half of our financial year. Given a fairly long lead time to get decoders into the distribution channels across Africa and given our marked year end, it means these costs were typically split between two financial years. With this year's event in Qatar scheduled from November to December, we had to expense all the decoder costs in this interim period. As the graph on the left shows, decoder cost increased by 30% year-on-year to ZAR3.4 billion. In essence, this amount reflects the cost of our subsidy as our policy is to write-down the stock to net realizable value on receipt of the decoders. To allow for a more meaningful analysis of our interim results, we have isolated the portion of decoder costs that relates to the additional decoders ordered specifically in anticipation of higher sales and activity around the FIFA World Cup event. This cost is not incurred in a normal year and amounted to ZAR700 million or $45 million. The right-hand chart shows our trading profit, which was stable year-on-year on a reported basis and would have increased 14% or 19% on an organic basis without the extra decoder costs. On the same basis, the reporting trading margin of 21.4% would have been 24% on a normalized basis. As we move through the second half, we expect to start recouping this investment through more decoder sales and increased subscription activations. We expect these benefits to continue to accrue to the business into financial year 2024.Slide 26 provides an update of our segmental trading margins, both including the impact of the additional decoder investments in green and excluding its effects in blue. The South African trading margin was broadly stable, well above the guided 28% to 30% range for the full financial year. However, given the seasonality of the cost base, particularly around the Northern Hemisphere football leagues and our investments to grow our revenues outside of traditional linear television, we reiterate our full year target range.The Rest of Africa business performed particularly well. Its trading loss narrowed to ZAR254 million, a 40% improvement on the prior period on a nominal basis and 79% organically. Excluding the incremental decoder investment, the Rest of Africa would have delivered a positive trading margin of 4%. Those margins were skewed by the inter-company charges relating to FIFA World Cup decoders, which should normalize into the second half. Performance in a tough trading environment was further supported by tight cost controls. On Slide 27, we analyzed our operating leverage and looked at our year-to-date cost saving trends. As you know, our target is to generate positive operating leverage by keeping organic growth in revenue ahead of organic growth in operating expenditure. During the interim period, we managed to deliver 1% organic operating leverage, which would have amounted to 5% on the normalized cost base. We delivered close to ZAR600 million in savings, predominantly from renegotiated contracts for sports rights and international and general entertainment content, but also elsewhere in the business that included targeted savings around discretionary spend. Given our traction to-date, we expect to exceed our ZAR800 million cost saving target for the full financial year, some of which will be redeployed to fund growth elsewhere in the business. On Slide 28, we provided our standard trading profit bridge for the Rest of Africa, which shows the material movements impacting the journey to return the segment to profitability. On the positive side, the business benefited from inflationary price increases across our core markets, relative stability in subscriber mix and volumes as well as tight cost management. This was largely negated by the decoder investments, but trading losses nonetheless narrowed a substantial 79% on an organic basis. Currency headwinds this year amounted to ZAR165 million as appreciation in some markets such as Angola and Zambia, offset declines in others such as Ghana and Nigeria. The reported trading loss narrowed 40% on a nominal basis. And the business remains on track to reach trading profit breakeven in the current financial year. During the period, we incurred a loss of ZAR1 billion in extracting cash from Nigeria at a weaker rate than the official rate, which is reflected below the trading profit line. On Slide 29, we showed our core headline earnings, which reflects modest growth of 2% year-on-year. The key drivers of this performance were the reduction of trading losses in the Rest of Africa and some gains on realized forward exchange contracts as the rand weakened in the first half of the year. These contracts largely relate to hedges for South African transponder leases that are recognized below the trading profit line. The contribution from South Africa was affected by lower profitability and higher interest charges on increased loan balances. Slide 30 provides an update on free cash flow, which was down 44% year-on-year, mainly due to the timing of working capital investments. Starting from the left-hand side, in the comparative period, we generated ZAR3.2 billion in free cash flow. EBITDA improved by roughly ZAR100 million through a solid operational performance. Cash taxes of ZAR1.9 billion, transponder lease repayments of ZAR1.3 billion, CapEx of ZAR500 million and ZAR300 million in Nigerian tax audit deposits were broadly in line with the prior year, which leaves other working capital movements accounting for a ZAR200 million cash drag for the year. The biggest impact came from the cash cost for the incremental spend on the FIFA World Cup decoders, which totaled ZAR800 million. We also incurred ZAR500 million in prepayments related to the renewal of certain content rights. We expect to see our free cash flow generation improve as we move into the second half. Although trading margins are seasonally weak in the second half, the inventory and content prepayments won't repeat and we should recoup our investments. Finally, on Slide 31, we provided an update on our balance sheet. Our cash holdings have remained fairly stable year-on-year at ZAR7 billion and were slightly up half-on-half. However, we have drawn down ZAR3.7 billion on our facilities to cover our short-term working capital needs. As a result, our total available funds have declined from ZAR11 billion at year end to ZAR8.3 billion at the interim. A portion of our funds have been set aside for specific uses. This includes ZAR1.2 billion or $67 million of cash that is subject to in-country restrictions and/or liquidity constraints and ZAR5 billion of loans that are due and payable within the next 12 months, principally relating to the short-term facility that we've drawn down. This leaves ZAR2.1 billion in net available funds, which will be used to fund the operational side of our business. We also expect to recoup our initial investment in FIFA World Cup set-top box subsidies during the second half of the year. Our debt position increased to ZAR7 billion as a result of the short-term facility drawdown. This is after making ZAR1 billion in loan repayments, mainly in relation to our working capital and KingMaker loans. Our leverage ratio at 1.08x remains well within prudential limits. And we expect to see free cash flow improving into the second half of the year. This concludes our financial update. And I'd like to hand back to Calvo to conclude with our outlook for the remainder of the year.
Calvo Mawela: Thank you, Tim. Turning to Slide 33. Despite the challenging macroeconomic environment, we are well positioned given our exciting content slate, significant scale and strong distribution. In the second half of the financial year, the core focus will be the broadcasting of the 2022 FIFA World Cup from November to December and on launching the very exciting SA20 Cricket League in January. We will also produce more local content that resonates with our customers. In addition, we will be looking to grow our online offering and further scale our Showmax paying subscriber base, supported by the recent launch of the Streama, the introduction of mobile services and attractive pricing. Given strong growth momentum, we are confident about retaining the Rest of Africa segment to profitability in the current financial year. And as Tim mentioned, we also expect to exceed our ZAR800 million full year cost savings target. And finally, we remain committed to look for growth opportunities beyond pay-TV. In line with our strategy to build a broader consumer offering, we will continue to bring additional value-added services to our customers. This concludes our presentation for today. And we are happy to take questions.
Operator: [Operator Instructions] Our first question is from Jonathan Kennedy-Good of J.P. Morgan. Please go ahead.
Jonathan Kennedy-Good: My first question is on Connected Video. Obviously, there are some interesting stats in the presentation, as they always are, but it's always difficult for us to get a sense of exactly how this is impacting the broader business. I'm just trying to understand, of your subscription revenues kind of how much is Connected Video. If you could give us a sense of the size and the growth rate within the revenue base?And then second of all, these new pricing plans for streaming services, given lack of decoder subsidies. How does that alter the bottom line profit for the Group? Presumably, it would be accretive from a rand profitability perspective and presumably sharply accretive from a margin perspective. But just want to get an understanding of how that affects the business, please?
Calvo Mawela: I'll hand over to Tim to respond.
Tim Jacobs: So let's start with the first question, which was Connected Video. Unfortunately, we've made a decision given the competitive space that we're operating in and the fact that we don't get much information from any of the participants in this space to be very cagey about what information we share, it's just simply too competitively price-sensitive. So we don't disclose what those splits are either in subscriber numbers or in top-line revenue. But what we -- I mean, obviously, what we do do is just give everybody a very clear indication as to the direction that we're traveling in and the relative quantum of what that looks like. So with this direction, you can see whether we're traveling in the right direction or not. If I understood your second question, this is about how decoder subsidies impact the financial results over time. I mean, generally speaking, when we make these big decoder investments about the FIFA World Cup -- and I would say that out of all of the events that we have in the business, FIFA World Cup is the one that is outsized relatively everything else. It's the one that we really make this big investment in decoders every four years. Our general -- the general profitability profile is that we see payback on the subsidies within about six months. And of course, in the second half of the financial year, the working capital investment that we've made in these decoders unwinds itself from a cash flow perspective because those decoders gets sold into the marketplace. So we would expect that by probably around the first, second quarter of financial year 2024, we would -- we have expected to have seen a full recovery of the investment in those decoders. And obviously, some of that will come through in this financial year, but it will typically grow over into next financial year. And then of course we get the ongoing benefit of those customers staying on the base.
Calvo Mawela: [Indiscernible] Meloy to just expand on that description.
Meloy Horn: Jonathan, maybe just also to add. I think what's rather unique in MultiChoice's case is we have an extremely conservative accounting policy when it comes to these decoder subsidies. We've checked, and most other operators around the world tend to capitalize these subsidies and then amortize them over the life value or life cycle of the customer. We take the pain upfront when we ship it into the warehouse, not even on when we sell it. So we actually are very conservative when it comes to our treatment of decoder subsidy.
Jonathan Kennedy-Good: I probably was unclear with the question, but it was nonetheless helpful. I was actually referring to these new product offerings you have for streaming services, which Premium come in -- if you utilize, I guess, Internet streaming, you pay, I think ZAR650 a month instead of ZAR850. And I was trying to get a grip on how that affects the rand profitability per subscriber, presumably that new offering, which gives a lot of value to consumers is also accretive to your Group bottom line?
Tim Jacobs: I get your question now. So there's a couple of relevant kind of observations with respect to the new pricing on those Internet services. The first one is, although the pricing is cheaper, it's actually targeted at a slightly different segment of the market. So what we are seeing and what we've been able to deduce by having discussions with some of the international players, is that when you offer Internet services, it doesn't necessarily -- it's not necessarily a cannibalization of your existing customer base. A large portion of these customers are actually a new segment of the market that don't want to buy decoder and are more comfortable in an online environment. So firstly, it's an incremental contribution. And then secondly, the overall investment that we make in the streaming services is actually lower than what we have in our traditional decoders. So while the pricing is slightly less, we find that the profitability is still making a significant contribution remembering that we were an 80% fixed cost business, and that doesn't change materially by introducing these new products. So it is a very strong contribution to our overall profitability. But what we do is given that these are new products, as a matter of course, we are doing periodic reviews. I mean, every quarter, we go back and have a look at exactly how these products have performed and what the customer cohorts and K-curves look like relative to the more linear and traditional type of our business to make sure that if there are any adjustments that need to be made to pricing or fine-tuning that needs to happen to that offering in the market that those adjustments can be made quickly.
Operator: And the next question is from Warwick Bam of Avior Capital Markets. Please go ahead.
Warwick Bam: Two from me. First one, just getting some color around the decision for dividends in the next six months and given your changes in free cash flow, some of the friction that you might experience, plus you're getting cash from Nigeria and your growth commitments. Are there any factors that you could flag at the moment that could influence your payout ratio relative to core headline earnings year-over-year? That's question number one. Question two. For Irdeto, the pipeline seems to be robust. Given the cost control you delivered in the half, is it to experience a step change in profitability from revenue growth and margin expansion once the chip shortage dissipates?
Calvo Mawela: Tim, do you want to take the first one?
Tim Jacobs: Yes. So on the dividend question, I mean, generally speaking, we're expecting to see a very similar trend to what we've seen in past years in terms of the second half cash generation. So the second half tends to be a much stronger cash generation than the first half. Remembering that that ZAR700 million subsidy doesn't repeat itself. We will be selling decoders that have been built up in stock. The prepayments won't repeat itself. And the second half tends to be, from a cash perspective, a better and a stronger generator. And then to answer your question about Nigerian cash extraction, we've actually been able to extract more money than usual out of Nigeria. So we extracted $122 million in the first six months of the year. And we -- although the pricing has been more extreme, we have been able to get cash out. So at this point, we're not anticipating or we're not seeing anything that is hugely material that will impact the cash flow to the point that the board couldn't consider a dividend at the end of the financial year. I hope that answers your question.
Calvo Mawela: And then just on Irdeto, despite the headwinds that they're facing, the team has really done well under very difficult circumstances. They [Indiscernible] been able to deliver some good cost savings. But we strongly believe that it's still something that is temporary. As soon as things improve with the world coming to normality, we should see the revenue uptick coming through. But we still think that they should be able to respond positively to the headwinds that they're facing.
Tim Jacobs: So maybe just to expand a little bit on that. Irdeto over the last couple of years have managed to win a number of first-tier customers from competitors. But in a very, very tough economic climate where for the last two and a half years, a lot of those customers have really struggled to expand their own businesses. But remember that when you win a Tier 1 customer and you're putting in a new security system, it does have quite a long project lead time before it comes to market. These projects are likely to be coming on stream and starting to scale up, hopefully, when the economic conditions in the markets start to normalize. And if that happens, we'll get two boosts. One -- the first one will be just the general boost of not having this real big negative pressure. And if these customers start to then accelerate their growth in their respective markets because of the suppression that they've seen through chipset shortages over time, that could well indicate an additional boost for the Irdeto business. Of course, we can't call when that will happen, but there is the potential for an acceleration once all of these issues they are currently facing in the business unwind themselves.
Operator: We have a follow-up question from Jonathan Kennedy-Good. Please go ahead.
Jonathan Kennedy-Good: On the question of load shedding in South Africa, I mean, things are getting progressively worse and deteriorating quite rapidly. What is your outlook and planning scenario for load shedding as it, A, affects your business and ability to broadcast and how it affects costs? And B, I think you made a comment that load shedding had affected churn on the subscriber base. And if I recall correctly, in Africa, when there's been significant changes in power availability, there can be massive changes in subscriber base. Is there anything you can do to mitigate that whether it's deploying kind of battery technology in your decoders? Just trying to understand what the tail risk here is of an [ASCOM] deterioration that is worse than expected?
Calvo Mawela: I think when -- what we have seen is that when it starts, of course, it shocks the system and then people are still trying to figure out how they're going to survive and then you have an impact. But once people begin to realize that this is going to be a permanent feature of their lives, and I think you will have also experienced that people tend to put inverters. And the first thing that they want the inverters should be able to power, some little bit of light and their television. So we are one of the beneficiaries in terms of people finding a way to survive under load shedding. What we have seen, and the second quarter is the case in point where load shedding became -- is becoming a permanent feature of our lives, is that the subscriber numbers have continued to recover and grow. And with our strong content line-up with people facing other challenges because of the economic [circumstances] that they are in, we seem to be a beneficiary during tough times and it has also shown to be like that. So there are initiatives that we do and encouraging people to power their iPads and phones prior to load shedding coming up so that they can continue to watch on the online platform. That is the message that we sent to our customer as we engage with them and as we sell products to them. We do not think that it has got a huge impact on us. And if you look at the Rest of Africa, many of the territories where it's not really load shedding, it's that they have no power, but they still find a way to take up our product and make sure that they're able to watch television. So we think it will play out the same. People will find a way to survive under these kind of circumstances. And Africa is the case in point with the amount of growth that we are seeing where it's not even load shedding, it's just no power.
Tim Jacobs: And then the first part of your question was, how does it impact our operations and broadcast. It doesn't. We've got two sites, one in Randburg, one in Samrand. Both of those sites have got the ability to broadcast our complete deck. And very similar to what we do when we've got rain phase, if you're having a massive thunderstorm in Randburg, we will switch over the broadcast in the uplink to the Samrand site. We've got generators on site that can run our entire production facility and we make full use of that during the load shedding period. So it doesn't have an impact on our broadcast technology.
Operator: The next question is from Nadim Mohamed of SBG Securities. Please go ahead.
Nadim Mohamed: Just two from my side. First one is just on inflation-linked pricing in Rest of Africa. Just wondering, how you're thinking about markets like Nigeria and Ghana now where inflation has ticked up well beyond 20%? And then secondly, just would like to understand Showmax Pro. I mean, it seems to be quite a compelling offer now that you've reduced pricing and you've added quite a bit of compelling content to it. My understanding is that the World Cup content might well be broadcasted there at some degree. I just want to understand where that fits in? And also, is it cannibalizing some of your premium base?
Calvo Mawela: Just on pricing, we believe very strongly that we have a compelling product in the market. And we are now at a stage where we can put in -- inflate the amount of pricing in the market. But of course, if the inflation goes way, way out, like over 20%, 30%, we need to consider that people are not going to follow through if you're going to put such increases into the market. So there's a lot of rate that goes into sensitivity, pricing analysis and being able to see how much of pricing can we put in. But if you look at Nigeria, for instance, we have been able to put a 15% increase in the last round. And we have not seen any slowdown in subscriber uptake, which really demonstrates that we still have a compelling product that people see value in it. And that's the basis upon which we do pricing each year.
Operator: Do you have any further questions, Nadim?
Nadim Mohamed: Just my second question was on Showmax Pro. Just to understand ways the team across the broader offers in South Africa?
Calvo Mawela: No, Showmax Pro is basically trying to make sure that those customers that are SVOD customers and they are not on the linear side of the business are able to get spot over and above the SVOD offering that we give on Showmax. We have seen people that are on Showmax trying to figure out how to get sport. And that's why we gave them an offer which is similar to a Compact offer and the line-up of sports is similar to what is offered on Compact. And with the pricing that we have now, as a result of us doing pricing just purely for online, taking into consideration that that are not decoder subsidies, installation subsidies that goes in there, we have seen a good traction in Showmax Pro. And that's why we are reporting that the subscriber numbers have almost doubled in this reporting period and we think it has got legs to stand on and we'll continue to expand on it and making sure that we support it and people can see the value that it brings, especially to SVOD customers that are not interested in the linear side.
Tim Jacobs: And maybe just to clarify, we don't see this as necessarily a massive substitution risk or cannibalization risk on our linear platform because the sports offering is largely football, which is kind of priced at a similar pricing level to what you can get football on Compact Plus, but it addresses a different market segment that doesn't want to buy necessarily a decoder. They want to rather operate in a more of a streaming kind of world. So it's not that a premium customer will kind of substitute a premium package for a Showmax Pro package and then be able to watch cricket and rugby. It is a more limited sports kind of package in there. It's still good. It's got most of the football leads. And for the football fans, it's a very attractive offering. But it is targeted at a very specific part of the market.
Operator: Meloy, we have no further questions on the conference call at the moment. Would you like to take care of some questions on the webcast.
Meloy Horn: Yes. So Aon Investment Management question there, saying, we're hearing the -- in terms of the repatriation of cash from Nigeria, the question is, with around $122 million taken out and $2.1 billion equivalent, what's the cost attached to this ZAR1 billion? So that's the first question. The second one, is it fair to assume that the narrow balances are actually worth half of the official rates effectively? And then there's a third question about Nigeria cash extraction. So let's deal with those three together. Can you talk current class extraction in Nigeria? And the level at which you wouldn't extract?
Tim Jacobs: So all very relevant and very good questions. So the first observation, I will confirm, yes, we took ZAR1 billion foreign exchange knock on the extraction of that $122 million. By implication, it does mean that the value of your currency is roughly half. If you just think about it, the parallel rate is kind of upper 700, sometimes into the 800s at the moment. Your official rate is sitting at less than 500. So you are seeing a significant difference in the parallel market rate and the official rate. And of course, this is the natural consequence of that. To answer your question about whether there's a rate that we do not extract money at. I don't think it's about communicating a rate so much as the principle about how we approach cash extraction, and there are two parts to this. The first one is we turned away a significant amount of dollars in the first six months, it amounted to about $41 million that we walked away from because the offers that were on the table kept pushing too far. What we then do is we do not want to become a floor in the market. So when we get offers that are too -- what we consider to be too expensive, we turn them down and we wait. Sometimes we've been out of the market for up to two weeks, while we wait for the rates to normalize. Invariably, they do normalize. They come back down to a point that we think is more economical. But over time, they do keep incrementally inching up. And then we would follow small incremental movements as the rand -- as the dollar in our exchange rate weakens. The challenge that you've got. I mean, you asked if there a point where we will not take money out. The challenge if you adopt that strategy is, if you're calling it wrong and the parallel exchange rate doesn't change, then what happens is, you could have had a lower average blended rate that you've got money out over time. And now you have to take everything out at one single point, like one single extensive rate. Not only that, it also then impacts your overall funding of the Rest of Africa Group, because whatever we cannot extract out of Nigeria to pay for the fixed cost base has to then be funded out of other resources in the Group. So we weigh up these various risks and the various priorities that we have in the Group and then we extract cash according to those principles. I can also say, and I'm hoping that Calvo won't be too upset with me showing this out, but at our recent board meeting that we had yesterday, the Risk Committee was asked to put into place a framework where they give us guidance on a maximum rate that can be extracted for each quarter and then the management team has a cap on what we can effectively take out. So we are comfortable with that as a management team. We are busy putting that into place with the Remuneration Committee. And that will be in place for the second half of the year. Just as another layer of protection that the Remuneration Committee asked the board to consider.
Meloy Horn: So there's a few additional questions that's come through on this particular topic, which I guess, Tim will carry on. The first one is, in terms of the naira. So this is [Indiscernible] Capital. In terms of the naira, if there was a devaluation of the official rate towards the parallel rate, how would this affect your trading profit guidance or Rest of Africa breakeven?
Tim Jacobs: Do you want me to do that one first or there will be more?
Meloy Horn: And then there's another question around this from [Oyster Capital]. Are there any other countries in Nigeria where you are experiencing repatriation issues?
Tim Jacobs: So the second question is the easier to [Technical Difficulty] with that one first. We're not experiencing any extraction issues anywhere else. I mean, we are -- from time to time, there might be a week or two when a Kenyan shilling is not available or an Angolan kwanza. There is a general rule, it's very short-dated and we've been able to extract money in almost all the other territories that we're operating in. So it really is isolated to Nigeria at the moment. To answer your question on whether the rates kind of started to weaken and whether that would affect breakeven guidance. I suppose there are two components to this. And the first is you directly raised the question. And the second one is something that I'll just share with you in terms of something that we're watching quite carefully. If the rate was to weaken within a reasonable depreciation level, we believe it will not change our guidance in terms of this year. The Rest of Africa business is trading incredibly well at the moment. Its volumes are up, its ARPUs are up with price increases and it has a significant events coming up in the next two months that we should see a significant boost to our subscriber numbers. All of these play very strongly and we have very good cost discipline in the business. I think the combination of those factors probably means that we have a little bit of latitude in terms of where we think we may end up at the end of the year. We don't give profit forecasts, but if there was a Nigerian exchange rate depreciation, it would have to be fairly material for that to be brought into question, I would guess at this point. And then just maybe to expand a little bit, Nigerian elections are coming up in February next year. And we are certainly hoping that post-elections, we may see some kind of a normalization happen in the exchange rate environment in Nigeria. We know that currently the behavior seems to be very politically motivated. That's our impression. And if we've got past elections and once that political motivation has kind of settled itself, both of the current candidates for President in the ruling party have both indicated a slightly more relaxed arms on exchange rates, but I think you have the hardline stance that's been taken by the current government. And we should hopefully see some kind of a normalization. That we would expect to include a depreciation of the official rate and the parallel rates kind of reducing to meet if demand is -- if some kind of demand is provided or liquidity is provided in the I&E window, which is where the official rate is set. So we're watching that election very carefully and hoping that post that election, we see some level of normalization.
Meloy Horn: And then we have a question from All Weather around our expectations or the ability to push through price increases in Rest of Africa going forward.
Calvo Mawela: No, we still believe very strongly that we should be able to boost price increases through. And we have done for this financial year and we have not seen anything changing with regard to our momentum in terms of growth in subscriber numbers. So we think the product is well positioned, the pricing is well positioned and people see value in what we are bringing to them and inflationary pricing will be absorbed fairly comfortably in our markets.
Meloy Horn: Thank you, Chris. And [Indiscernible] takes care of all the online questions on our side. So maybe we can just hand back to Calvo to wrap up.
Calvo Mawela: Thank you, Meloy. Ladies and gentlemen, we hope you find our feedback useful and we would like to invite you to reach out to our IR team if you have more questions or need more information. We look forward to bringing you all the excitement of the FIFA World Cup in a week or so. And we would also like to wish you and your families well over the festive season. Thank you for joining us today, and good bye.
Operator: Thank you very much. Ladies and gentlemen, that concludes today's event. And you may now disconnect.